Biz McShane: Good morning, and thank you for joining the Regus Second Quarter 2023 Earnings Release Conference Call. I'm your host, Biz McShane, Vice President and Corporate Controller. All participants are in a listen-only mode. The prepared remarks by our President and Chief Executive Officer, Matthew Doctor; and Executive Vice President and Chief Financial Officer, Kersten Zupfer; are accompanied by slides to help participants follow along. After the prepared remarks, we will have time for questions. Please use the chat feature or raise your hand feature to ask a question. Please note, this conference is being recorded. I would like to remind everyone that the language on forward-looking statements included in our earnings release and 8-K filing also apply to our comments made on the call today. These documents, along with our presentation today can be found on our website at regiscorp.com/investorrelations along with any reconciliation of any non-GAAP financial measures mentioned on today's call with the corresponding GAAP measures. Today's slides are located in the Investor Presentation & Supplemental Financial section of the Investor site. With that, I will now turn the call over to Matt.
Matthew Doctor: Thank you, Biz. Good morning, everyone, and thank you for your interest in Regis. For today's call, I will highlight our second quarter fiscal 2023 results and reiterate our strategy and the priorities we have for the business as we enter the second half of our fiscal 2023 year. I am pleased to report continued business progress that resulted in a strong quarter for Regis and our best start to a fiscal year in quite some time. We have built upon our positive start to the fiscal year by delivering further sales and EBITDA growth with Q2 2023 adjusted EBITDA of $8 million dollars more than double our adjusted EBITDA of $4 million that we reported last quarter. These results come just 18 months after we reported an adjusted EBITDA loss of $77 million for our full fiscal year 2021. In the last two quarters, we have reported adjusted EBITDA of $12 million, which is a testament to the progress made by the Regis team and our franchisees. It is worth mentioning again, as I have on previous calls that I am proud of the progress we are continuing to make in a relatively short period of time. Coming out of fiscal 2021, we utilized 2022 as a year to stabilize Regis through the winding down of our legacy businesses, streamlining our G&A, selling our technology platform and amending and extending our credit agreement while simultaneously aligning on a go-forward strategy with our franchisees to drive our business forward, all of which required a tremendous amount of work and execution and that work continues to come through in our results. And not only having turned the corner on profitability from an adjusted EBITDA perspective, but also accelerating it. We will continue to focus and execute against our strategic initiatives of stylist retention and recruitment, customer retention and traffic-driving and the rollout of our technology partners Zenoti salon management platform in an effort to grow top line sales and franchisee profitability, which will in turn drive Regis sales and profitability. While we have come a long way, we still have a ways to go and work to be done, but I continue to remain excited and encouraged by the strides we have been making in our business and the future of our scaled fully franchised platform. I will now speak to some of the highlights of our second quarter and year-to-date results. Kersten will be diving deeper into the results in her section. And I think it is important to note the details and nuances Kersten will mention, as there are a number of onetime items that had an impact on the quarter. That being said, the overall theme of progress and strong results continues to hold regardless of the onetime impacts. For the quarter, same-store sales rose 4.5% versus the prior year's second quarter. Adjusted Q2 '23 EBITDA on a consolidated basis was $8 million compared to $3 million in the prior year's quarter, a $5 million improvement. Adjusted EBITDA on a six month year-to-date basis improved by $14 million year-over-year at $12 million versus a loss of $2 million a year ago. Our franchise segment EBITDA was $8 million for the quarter, increasing $2 million as compared to the second quarter of fiscal 2022. On a year-to-date basis, our franchise segment EBITDA is up over $10 million versus a year a year ago, a $12.5 million year-to-date versus $2 million during the prior year period. We reported our second quarter in a row of positive operating income of $1 million versus an operating loss of $0.5 million in Q2 fiscal '22. Operating income on a year-to-date basis has improved by almost $9 million versus the prior year at $3 for the six months ended December 31, 2022, versus a loss of $5 million during the prior year period. And finally, from a cash perspective, we continue to make strong progress in decreasing our cash use as we've come a long way from the cash use over the past two to three years and are getting closer to cash flow breakeven. Our liquidity position and capital structure remain healthy as we ended the quarter with total liquidity of close to $44 million, providing us ample runway to continue investing in and improving the business. Turning now to our business initiatives. Much of what I will be talking about will be a reiteration of the strategies and priorities I have mentioned on previous calls as they remain the same, and they will continue to remain the same for the foreseeable future. All of these items, we view as foundational to our business and our plays for the long term. Given the velocity of our business, with customer visitation cycles generally will see between one to two months combined with how important increasing our franchisee stylist workforce is, these are not factors that will change overnight, but rather require the repeated investment of time and effort in addition to testing and learning. We are confident that our areas of focus are the right ones, and we will continue to bring the right balance of urgency, discipline and patience as we execute on our business initiatives to move the needle on sales and franchisee profitability. Now regarding our Regis specific business items, our team continues to do a great job of tightly managing G&A and winding down our company-owned salons. These actions remain instrumental in continuing to provide us the runway need to drive the turnaround and position for Regis for growth as we implement our sales-driving initiatives. From a G&A perspective, over the last several quarters, we provided revised guidance to a range of go-forward G&A. And during this quarter, we have continued to make improvements. We are pleased with our efforts here. And Kersten will be providing another update on a revised range during this call. I also want to make it clear that while we have been optimizing G&A to match our current business model, it is not affecting the manner in which we support our business and our franchisees. In fact, we're actually increasing our field level support and the programs our franchisees have access to and will continue to do so as we are on the path of being a strong franchisor. In regards to our company-owned segment, we ended the quarter with 75 company-owned salons while our company-owned segment was positive for the quarter on an EBITDA basis, largely due to a one-time COVID relief payment that Kersten will touch on. This is an area continues to provide a drag on our profitability. And due to the hard work of the team, we now have clear line of sight over the next 12 months to wind down another 55 to 60 salons. And with those rolling off, we will have mitigated the majority of a negative contribution these salons have on our business by this time next year. Now as we move ahead, will continue to monitor our G&A and our company-owned portfolio very closely. Moving on to, our salon level initiatives of technology stylist retention and recruitment the customer marketing. On the technology side, our key initiative here remains consolidating our system onto a singular point-of-sale software system. Through the sale of our open salon - software platform in June of 2022, we have partnered with Zenoti as our main technology partner. And as of December 31, 2022, we've had over 500 salons actively using the product and many more signed up to migrate. Currently, the main priority for us in Zenoti is to engage with and stay close with our migrated user base to ensure the experience and functionality meets the unique needs of our brands, our franchisees and stylists. We are listening intently to the feedback, and we're deploying the requisite resources to address any issues raised in short order with the goal of accelerating sign-ups and migration when our franchisees needs have been met. We believe the product is close to being properly tailored for all of our brands, and we look forward to tapping into the many benefits the Zenoti platform will provide. We believe having Zenoti rolled out across our franchisee base will allow us to better engage with customers and connect deeper to digital channels. We also be able to drive the many initiatives we have around life cycle marketing and loyalty, which should further unlock the benefits of our size of scale as well as being - and bring greater uniformity to our brand promotions. Zenoti will also provide us and our franchisees the ability to make an even more personal approach to getting to know our customers, their preferences and ultimately provide a better service experience across our salons in addition to increased stylist productivity. On stylist retention and recruitment, I've spoken on previous calls about the labor challenges, which has been putting pressure on our sales recovery. We are constantly thinking through with our franchisees how they can invest attract, hire, train and retain stylists. We are working on refining each of our brands' unique employer value propositions to ensure we have impactful reasons why stylish should join one of our Regis brands. Not only is it important that we have clear messages, but another key initiative will be ensuring that the message gets out to, meet the stylists where they are. This includes us and our franchisees taking time to cultivate and build relationships at beauty schools as well being active on social and digital channels. In addition, we have spoken at length about our increased investment in education as a tool to attract and retain given the importance of ongoing education to stylists. I am very pleased at the foundation we have been building through our various programs that include our in-house artistic directors and field-based technical trainers. We want to build the largest and most impactful educational platform in industry. And we have grown our collective training team significantly over the course of past year to over 1,000 trainers across our system versus less than 150 at this time a year ago. Given the recent exponential growth, we have only scratched the surface regarding the impact this team can have on elevating the technique of stylists, driving the latest trends and ensuring customers are receiving the quality services that they are seeking. We have ramped up the number of in salon crisis across all of our brands as well the digital trading support we are providing to our trainers and stylists. We believe this will go a long way in keeping stylists engage and is a critical touch point that we uniquely provide. In addition, we're about to launch salon leader and manager training this month to build soft skills on the non-technical side. And looking at data from the past few months, early findings suggest that those salons that have a dedicated technical trainer are outperforming the rest of the system on a sales basis. We look forward to not only rolling this out further, but also developing programs to fully optimize the use of this valuable team and resource. We have also brought back in-person advanced education award trips in a big way. With our most recent one having just taking place in Las Vegas for the Supercuts brand in early January. The entire leadership team, along with many other Regis employees and franchisees, attended this event that hosted around 850 trainers, managers and stylists. As events like this are differentiators and will be, key to rewarding top performers, drive further engagement and retaining our franchisees' top talent. These events are also critical to enhancing brand culture and providing stylists the sense that they are part of a community versus an individual salon. Taken together, we believe all of these components will truly differentiate our brands and set us apart as a destination to work for both stylists that are looking to start their careers as well as those with experience. On marketing, we continue to prioritize retention and building further loyalty to our brands. I've previously mentioned the shift in media spend, which we are continuing to make to optimize those channels, providing the highest ROI. We have test campaigns out in market with various lifecycle and CRM messaging, and we will seek to expand on the ones that are driving the most traffic. Our loyalty programs are getting closer to being piloted and refreshed brand campaigns are in the works. We are finding the right balance between performance-based traffic driving initiatives and overall brand strategy as it is important that neither one of these get lost. The goal of all this is to create a stronger relationship through more communication with our customers, and I am encouraged as we test and learn new tactics utilizing the rich data we have and we'll continue to gather and I look forward to gaining further insights and landing on high-impact programs to drive traffic and awareness to our salons. I will wrap up our initiatives here. And while this was not exhaustive of what we were doing, I wanted to provide you some examples and insights into the work streams we have in place and how they can impact our business across the entire system. As we look forward to the third quarter and beyond, I want to ensure that I set the proper expectations of what our results may look like. And I want to give the impression that our Q2 results are the new benchmark for a quarterly run rate from an EBITDA perspective, at least not at this stage of our turnaround, given that there were some one-time items and timing that contributed to the quarter. That said, I want to be very clear that our results thus far have been in line with where we have expected them to be and that nothing has been a surprise to us. Staying with the theme of expectations and no surprises, given the timing of certain expenses such as the Supercuts education event that took place in January, as well as the seasonality of sales, we expect the next few quarters to come in below Q1, '23 adjusted EBITDA, which still represents continued year-over-year improvement. I want to not only give you that visibility, but also let you know in advance that from our perspective, a dip over the next few quarters does not signal a step back, but rather what is fully expected and planned for, given the timing of investments that we will be making. Taken in totality with our first two fiscal 2023 quarters, we are on track to deliver significant EBITDA growth over the course of fiscal 2023 versus our prior years. I would like to close by reiterating the excitement for the future of Regis. We have all the elements in place to continue building on the momentum we are gaining. We have strong conviction around the industry that we are in, our positioning within the industry, our revamped and more streamlined business model, the stabilization we have achieved for our platform, the positive results we are delivering and the strategy we have in place to address the challenges our business faces in order to drive sales and franchisee profitability. I am proud of all of our team members, our franchise owners and business partners for their resilience, passion and dedication to Regis. This is an exciting time for us, and I want to again thank the entire region system for their contribution to our results, and thank you for your continued interest in our company. With that, I will now turn the call over to Kersten to review the financials in more detail. Kersten?
Kersten Zupfer: Thanks, Matt, and good morning. We are pleased to speak with you to share our second quarter and first half fiscal 2023 performance. The quarter marked our start to a fiscal year in five years when measured by GAAP operating income and demonstrates the future of Regis as an asset-light franchisor. Our operating income improvement is driven by our focus on controlling G&A, the wind-down of last generating company-owned salons and our distribution centers and to a lesser extent, the benefit some onetime items, which were partially offset by onetime costs. Reviewing the second quarter in more detail and beginning with the income statement. On a GAAP basis, total second quarter revenues were $60 million and declined $9 million from the prior year. This revenue decline was expected and relates primarily to a reduction in franchise rental income and the wind down of our company-owned salons. Franchise rental income flows through both revenue and expense therefore, has no impact on profitability. We believe a better reflection of our revenue performance is system-wide same-store sales, which grew 4.5% in the quarter. We continue to believe our initiatives to drive stylist hours and customer traffic will support continued improvement in system-wide same-store sales. As I mentioned, we posted another quarter of GAAP operating profit and a strong start to the year. The increase in operating profit was driven by the wind down of loss-generating company-owned salons and our continued focus on managing G&A. Additionally, I'd like to call your attention to onetime expenses and benefits in our GAAP operating income for the quarter. On expense side, we had a $2.6 million depreciation charge driven by the consolidation of our office space and a $1.2 million inventory reserve charge. As it relates to benefits, we had positive insurance adjustments, which lowered G&A in the quarter by $600,000. Now let's turn to our adjusted results, which eliminates the noise in the reported results. On an adjusted basis, second quarter consolidated adjusted EBITDA was $8 million compared to $3 million in the prior year's quarter. The $5 million improvement was driven by our lower G&A which included a $600,000 positive actuarial insurance adjustment, the wind down of loss-generating company-owned salons and a $1.1 million grant from the State of North Carolina related to COVID-19 relief. Our core franchise business achieved adjusted EBITDA of $8 million in the quarter, a $2 million improvement compared to $6 million in the prior year quarter. On an adjusted EBITDA basis, our company-owned segment was just above breakeven for the quarter and improved $3 million from the second quarter last year. The improvement is driven by the $1.1 million grant from the State of North Carolina related to COVID-19 relief and having fewer loss-generating company-owned stores in the current period as we are closing stores at the lease end and negotiating early buyouts where appropriate. For the first half of fiscal 2023, revenues were $122 million compared to $146 million in the first half of fiscal year 2022, similar to the second quarter revenue decline, this decline was expected and relates primarily to a reduction in franchise rental income and the wind down of our corporate-owned salons, as well lower product sales to franchisees. Adjusted EBITDA for the first half of the year was $12 million, a $14 million improvement compared to a $2 million loss in the first half of fiscal year 2022. Adjusted EBITDA improved primarily due to our lower G&A, the wind down of loss-generating corporate-owned salons and a $1.1 million grant from the State of North Carolina. Breaking this down further, adjusted G&A was $25 million for the first half of the year. This is lower than our expected run rate in the second half of the year due to our investment spend on training, recruiting and retention, which will increase as we accelerate these initiatives in the second half of the year. As Matt mentioned, we continue to optimize our G&A spend. And last quarter, revised our expected normalized G&A spend to $57 million to $60 million from $60 million $63 million. Even with the planned strategic spend in the back half of fiscal year 2023, we are now reducing our G&A outlook further and expect G&A to normalize between $54 million and $57 million annually with fiscal '23 trending towards the low end of that range. Turning to liquidity. As of December 31, we had $44 million of liquidity, including $34 million of available revolver capacity and $9 million of cash. In the first half of the year, we used $7 million of cash from operations, of which $5 million was used in Q1 and $2 million was used in Q2. On a year-over-year basis, cash used in the first half of 2023 improved $17 million from the prior year. The $2 million cash used in the second quarter includes $2.5 million of deferred social security payments and another $500,000 in payments to complete our obligations related to our transition services agreement with our former point-of-sale provider. These cash uses were offset by the $1.1 million of cash received, as I mentioned earlier. Adjusting for these cash uses, second quarter cash used in operations was flat. We expect to use more cash in the back half of fiscal 2023 as we further invest in training, recruitment and retention. With the sale of OSP, our capital expenditures have decreased by approximately $3 million this year which is in addition to the cash saved on G&A. Given our working capital and modest capital expenditure requirements, we believe we have ample liquidity. This concludes my prepared remarks. I'd like to thank you again for your continued support and interest in Regis. With that, I will turn it back to Biz who will lead us through the Q&A.
A -Biz McShane: Thank you, Kersten. Please remember to use the chat feature or raise your hand feature to ask a question. The first question we have is through the chat. Kersten, this is for you. Please give an update on the NYSE compliance.
Kersten Zupfer: Great question. We are currently in compliance with the New York Stock Exchange stock price requirement as well as the market cap requirement, we're just awaiting the final compliance letter from the exchange.
Biz McShane: Thank you. All right. On the line, we have Eric Beder from Small Cap Consumer Research. Eric, please remember to unmute your line.
Eric Beder: Good morning. Can you hear me?
Biz McShane: Yes.
Matthew Doctor: Yes, Eric.
Eric Beder: Congratulations on a solid Q2.
Kersten Zupfer: Thanks Eric.
Eric Beder: You guys made a lot of progress - when do you see the potential to start adding more - salons to the franchise mix? Obviously, you spent a lot of time cleaning the base up. When do you look at it going forward to potentially start adding to the mix?
Matthew Doctor: Yes. Eric it's, Matt and good morning and thanks for the question. I think you had mentioned a lot of time cleaning the base up. I think from our standpoint, we're just continuing to focus on executing on - business and all the initiatives we just mentioned. That's really where it starts and ends right now on just continuing to move this business forward, continuing to continuing to bring stylists back into the equation, continuing to drive our customer traffic. Because that's really where the conversation starts getting a lot easier amongst franchisees and even folks on the outside who have shown have shown interest in growing. But our focus right now is ensuring that franchisee profitability is optimized to ensure we have the right business case, that is ongoing, and I see that to probably be the case or call it the next year. So we're really going to really continue to focus on the turnaround, which again, we'll unlock those conversations, make it easier for the franchisees who have expressed that interest. We do have interest from the outside, but really just want to focus on business model as much as possible right now. And kind of as we mentioned on calls in the past, along with that cleaning up is coming with some cleanup of the footprint. I mentioned on the previous call and I'll say it again, right now, what we're seeing is a bit of a cleanup of salons - of underperforming salons, which has been a drain on resources and time. And I think that has a benefit to the system as well. So as we continue with kind of winding down those that are underperforming, we're going to start putting our focus back on getting into growth modes.
Eric Beder: No you talked about - you talk obviously about the franchisees. You had this event last month in Las Vegas. What was the feedback you were getting from the franchisees in terms of what they're looking to see going forward how they are feeling of what's going on in the world?
Matthew Doctor: Yes, no absolutely. It was a fantastic event. I can't speak to that enough. And by everyone who is in conjunction with putting that on that came through a big collaboration with our franchisees actually. They even concept of the idea of that event came out of our regional road shows we did last year, and we asked how can we better ensure that we're engaging and retaining our stylists, rewarding top talent, ensuring that we have some more essence of the brand culture, excitement, bringing that back amongst the stylist community. And this is something that we aligned on with them as being a key tool as part of that initiative. So it was awesome to see that was a conversation that happened beginning middle of next year and for that to come to fruition around six months later after that, and to have an event where 850-plus stylist managers, trainers, franchisees, vendors came was pretty incredible. So it was an awesome event from that standpoint, stylists and managers left super engaged. We also had an owner track to your point on we use it as an opportunity of further touch base with them to get to the latest feedback on, hey, here's what's going on from a recruitment marketing perspective? What are your views on that? Here's what's going on from the latest brand campaign, revamped that we're going through, showing some previews, what are your views on that? Here's the latest with Zenoti, give us some feedback on what you're seeing and what can do to improve that platform. So really, it was a time of a ton of constructive dialogue on the heels of engagement with them in an event that we came together to really put on in conjunction with the franchisees. So overall, it's a great sense of collaboration on what the - feedback on our key priorities, which we're going to take into account. So it was very productive from that standpoint. And I think the approach of trying and making a more concerted effort to bring them in to those major decisions and the major things affecting our business are greatly appreciated even in the face of some - as we're looking to get the business back on track.
Eric Beder: Yes, thank you. When you step back, we've gone through COVID. We've gone through now people coming back to work. What are you seeing - what your franchisees seeing in terms of the customer? How often they're coming? Is this - business with customer resistance or economic slowdown resistance? How should we be thinking about the changes that have happened or really in the customer base being affected and flowing through into your business?
Matthew Doctor: Yes, no, absolutely. It's a good question. And yes, we are seeing some stretching of visitation. Things are different, right? I think I kind of mentioned people ask of the dynamic, it's just different. And even so, I would say, regardless of that factor, there's still a ton of opportunity. I mean, what gets me excited is the fact that everything that we've just talked about, the momentum we're gaining, the progress we're making. They're largely coming without the effects of the strategic initiatives that we're talking about fully taking hold. And what I mean by that. Now a lot of the work has been done to this point on those to get us in the position to execute - customer data cleanup, foundational groundwork research, talking with our franchisees, piloting various messages, testing and learning various channels, I mean we're getting smarter every day on what's going on now. So from my perspective, we haven't even scratched the surface regarding the impacts we can have on these yet are still moving forward. So given that, I think the incrementality of those initiatives can have there's, plenty of customers out there. There's plenty of opportunity for us to increase our relationship with our customers, drive further retention, drive traffic. And you kind of mentioned a little bit about the industry, and I mentioned that as a highlight. This is kind of the most subscription like model without being an official subscription due to the fact that haircare is more of a need versus a want and people look to get their haircut and colored, whatever have you, and they prefer to do that with training professionals. So regardless of the time, regardless of customer behavior, I think there's really a lot of space for us given that dynamic, and I really like our positioning and prospects to capitalize that. Given our scale, convenience, value for money, quality of service are salons suffice at attractive price points, what I think this will be resilient through all economic cycles and the incrementality of these initiatives can have regardless on stretching out of cycles here. There's, a lot of customers to go after attract keep and retain and build loyalty to our brands.
Eric Beder: Yes, it's still pretty difficult to cut your hair online?
Matthew Doctor: You can't, that's absolutely true.
Eric Beder: And the last question here. I know this is longer term look, where do you want to be longer - you've obviously made great progress on cash flow. Where do you want to be longer term with the debt in terms of potential on ratios or levels? How should we be thinking obviously, as I don't think this is a fiscal '23 question, but how should we think the longer term in terms of where the right level of debt should be here?
Matthew Doctor: Yes, no it's a good question. And I think it comes back to kind of what I said on earlier, what we're focused on, just what's going to bring us back to growth. What's going to end up leading to debt paydown is ultimately, well its two things. The first and foremost, this continued execution on the business. As we look to increase our top line, as we look to continue to drive profitability, a lot of - and generate cash flow. A lot of that will go down to paying debt that is a big piece of the value equation here, unlocking further value for stakeholders. So that is ultimately a place that we're looking to get through in the way that we get there is ultimately continuing on the path we're on - continue to grow that top line and essentially be able to get in the position to start paying that down. The other piece that comes along with this as well, that I don't want to lose sight of that may be a bit of a '23 thing is the payment stream that we could be getting from Zenoti as part of our earnouts from migration. So that is something that will come in, hopefully, over the course of '23, probably towards more towards the back half, just a little bit of a color on how that works. So we received an upfront payment from Zenoti and that kind of covers off the first ex amount of salons, and then after a number of salons migrate, we start getting payments for the rest of incremental migration beyond, call it, what that increment - that first payment covered. So as you start to see additional salons migrate over we'll start to be able to get proceeds from that, which will go directly towards debt paydown. So between that, which could be a '23 thing and the execution of our business, which, to your point, is a little bit longer term, those things will help us delever. In terms of a target we're looking to reach. We haven't put that out there at this point yet, but maybe that's something we'll consider in the future.
Eric Beder: Great good luck for the rest of the year.
Matthew Doctor: Thanks Eric.
Kersten Zupfer: Thanks Eric.
Biz McShane: All right. Next, we will go to Sydney Wagner from Jefferies. Please remember to unmute your line, Sydney Wagner
Sydney Wagner: Hi, are you guys able to hear me okay?
Matthew Doctor: Yes.
Biz McShane: Yes, we can.
Kersten Zupfer: Yes, we can.
Sydney Wagner: Perfect well, thank you for taking my question. So my first question was just around the labor market and stylist retention and recruitment. Where do stylist count levels fall relative to where they were pre-COVID. And then I'm just curious on any early reads or feedback you have from the stylist recruitment initiatives?
Matthew Doctor: Sure, thanks this is Matt. So I appreciate the question where they fall versus pre-COVID - it's pretty interesting. I think you've talked about this at late it kind of matches up pretty much with kind of traffic declines that we're seeing. So this is around 20% down from an hour's work perspective versus pre-COVID. And again, that is something that recently has been fairly stable and any incrementality of just increasing those hours works even just one hour, 1.5 hour per salon per day can have some significant impact on our franchisees' profitability on top line. So the various factors that have been moving this in a positive direction where we see it, a lot of different things, franchisee pay plans, commission structure, salon culture, access to training, all the things that we've hear and we've seen, which is why this is where we're putting so much of our focus in to: one, get the story out there; two, ensure our training leaders and managers are trained on the soft skills to provide a great culture. So we know how important managers are. So when we talk about salon training and education, we really felt this was really a very important place to put some time and effort even we know like a lot of industries. [indiscernible] to bad managers. So we can't overlook that piece of the education side, and so we're excited to start rolling that piece out and other things regarding the technical trainers that get hands on in our salons. I had mentioned some early findings that those salons and technical trainers are outperforming the system. I'll add some more figures and context around that. And some of the data that I'm quoting is November and December results just given, it's been early days since we've scaled that up so fast. But from a level of sales outperformance on an overall brand perspective, we're seeing that range from salons that have these trainers and them from anywhere from 4% above the rest of the system in one brand, up to 14% in another. And we're also seeing that requisite outperformance in styled hours and 90-day retention for those who have those design team members. Some are retaining 4% better from a 90-day retention side and even up to 7% more stylist hours work. So these are things early figures, encouraged that they're seem to be working on the right path regarding that investment, and we're going to continue to do so in an effort to move the needle on that recruitment and retention side.
Sydney Wagner: Got it. That's helpful. And then just another one kind of on the customer wait time. So I think you'd called it out as one to two months. So just curious like what your target time is. And then if you're seeing any shifts in spend per visit, curious on any color there.
Matthew Doctor: Yes. I think it's less so on target how often we're getting folks to visit. I think we're going to be okay with stretching cycles out as long as we're increasing our traffic base. So -- and that's between two things. One, just keeping those who are coming in whatever cycle they're coming in at a better rate which I think we have a ton of opportunity to do and probably the highest ROI and focus we can have right now. We have a lot of traffic coming through our system. Let's just keep them better. And that will go a long, long way and something that's in our control through the development of, as I mentioned, CRM and loyalty, bring in that stickiness, that's going to go a long way from the traffic we already have, regardless of how often and the various reasons are coming through. And then obviously, there's the opportunity to drive additional. So we can drive additional folks, and I'll just add to that pool, which will go a long way into effectuating that traffic number kind of regardless of where that cycle is. In terms of spend, yes, spend has been up, and that's just been a product of price increases that franchisees and our system has been taking, which has been quite in line with other industries and retail and what have you. So kind of we're seeing anywhere from 20% to 25% higher tickets versus a pre-COVID level due to the price that has been taken here.
Sydney Wagner: Got it. That's helpful. And then just my last question is just about the same-store sales up 4.5% and the trends that you're seeing there. And then how those maybe vary by region and concept.
Matthew Doctor: Yes. I would say probably more so by concept than region. And I'd point you to our press release where you can have kind of the breakdown of the various brands. So you can see supercuts and portfolio of brands being up anywhere from 6 to 7-plus percent. And that's really kind of in those couple groupings of buckets and then the SmartStyle brand is actually down on a year-over-year perspective. So I will say, disparity is really kind of driven by those brand perspectives. Regionally within the brands, we actually see fairly uniform performance, which actually that means that we can effectuate on kind of an overall layer across the brand, so really taking more of a brand approach than having to take a regional approach.
Unidentified Analyst: Got it. Thank you so much.
Matthew Doctor: Thank you.
Biz McShane: All right. We're going to go now to a question from the chat. Matt talk about the health of the franchise system and where we see our franchise system going?
Matthew Doctor: Yes. No, it's a good question. I appreciate you asking. As I mentioned, this comes back to just continuing on the recovery. The franchisees have gone through a couple of years of a difficult time given what's happened through COVID and we're just focused on getting that business back on track. I mentioned stylist hours worked per a previous question, about 20% down. So we have a lot of opportunity to drive our sales, to drive franchisee traffic, to drive franchisee profitability through increasing that workforce to making them more productive. I think that will go a long way for franchisees businesses. And really kind of everything we're doing here, every program that we're looking to roll out from a technology platform perspective, as I mentioned, from our efforts around recruiting and retention perspective, from our customer marketing and 90-day retention for that, that is all in an effort to look to increase franchisee sales and franchisee profitability, which we know is the most important thing right now.
Biz McShane: Thank you, Matt. Those are all the questions we have for now. Thank you for joining the Regis call.